Operator: Ladies and gentlemen, thank you for standing by. Good afternoon, and welcome to the DMG Blockchain Solutions Q1 2025 Update Conference Call. Participants of this call are advised that the audio of this conference call is being broadcast live over the Internet and is also being recorded for playback purposes. A webcast replay of the call will be available on the company's website. Joining us today from DMG Blockchain Solutions is Sheldon Bennett, the company's Chief Executive Officer; and Steven Eliscu, Chief Operating Officer. During this call, management will be making forward-looking statements, including statements that address DMG Blockchain Solutions' expectations for future performance or operational results. Forward-looking statements involve risks and other factors that may cause actual results to differ materially from those statements. For more information about these risks, please refer to the risk factors described in DMG Blockchain Solutions' most recently filed periodic reports and the company's recent press releases, particularly the cautionary statements within. The content of this call contains time-sensitive information that is accurate only as of today, March 04, 2025. Except as required by law, DMG Blockchain Solutions disclaims any obligation to publicly update or revise any information to reflect events or circumstances that occur after this call. It is now my pleasure to turn the call over to Sheldon and Steven. Sheldon?
Sheldon Bennett: Thank you, Shantel. Good afternoon, and thanks to everyone who has joined the call today. My name is Sheldon Bennett, and I am the CEO and Founder of DMG Blockchain Solutions. With a similar format as recent quarters, first, I will provide an overview of the company's achievements in the past quarter. I will then pass the call to Steven, who will review the company's performance. We will end the call with our Q&A session based on questions submitted to us prior to the call as well as from those using Zoom Chat. So now on to our highlights of recent achievements. First our Core+ software and service strategy. As a reminder, the goal of our Core+ strategy is to monetize a carbon-neutral bitcoin ecosystem where Terra Pool supplies carbon-neutral blocks that are in turn filled in part by Systemic Trust, our digital asset custodian subsidiary by transactions from financial institutions which want the option to have a regulatory compliant and carbon neutral way of sending bitcoin. As an update on Systemic Trust, we have completed the regulatory approvals to becoming a qualified Digital Asset Custodian business. We are currently only one of three in Canada. We are currently focused on customer acquisition for STC and our goal is to announce our first customers to be onboarded by the June quarter with a meaningful revenue ramp up by the end of this calendar year. We're also working with Bosonic to be onboarded as a custodian and look forward to a mutual relationship where we can help increase the value of our Bosonic investment and have Bosonic as one of a number of exchanges with which Systemic Trust has as a partner. We are in the testing phase of utilizing Fireblocks wallets that incorporate DMG's Petra technology so that Bitcoin can be held by Systemic Trust and maintain its carbon neutral status by being sent through Terra Pool for transactions processing. This is the last remaining component of which we need to enable DMG's carbon neutral Bitcoin ecosystem. For Terra Pool, we are focused on partnerships and customer acquisition. Our focus is to work with a limited number of larger mining entities looking to leverage the portion of their energy mix that is carbon neutral to have the opportunity to increase their revenue. Helm DMG's data center management infrastructure software is actively being upgraded to best-in-class software for maximizing the profitability of Bitcoin mining. We have focused on developing Helm into a comprehensive tool that for use with both air cooled and direct liquid cooled Bitcoin mining fleets that includes support for demand response programs, intelligent rules based facility management, site mapping and asset management. We are planning our first customer release of this tool for availability in mid calendar 2025. We are actively using Helm in our Christina Lake facility so that we can hit the ground running with a mature product when we roll out Helm to other clients. For Terra Pool clients, we see Helm as an upgrade to their existing solutions which are either general purpose offerings built on antiquated software stacks or were built from in house use only. Long-term, we envision the role of Helm to be used with AI data centers in a way that uniquely maximizes profitability. Reactor is software for assuring the delivery of hash rate over the term of a hash rate contract and gives Terra Pool clients the option to sell hash rate and be paid upfront for delivering hash rate over the term of a contract, which is a useful treasury management tool that is unique for any tools to offer. We plan to offer our first release reactor optimized for large pool clients by mid-calendar 2025. We know we have plenty of demand for hash rate through our broker partners. Software changes we plan to make the original reactor product are focused on optimizing our target use case as the product is already proven. We also plan to provide Reactor along with Terra Pool and Helm in a single seamless environment. Explorer which is the original software required with the Blockseer purchased back in 2018 remains a product on a roadmap for release later in calendar 2025 as we see it as a long-term revenue opportunity. Regarding our core infrastructure first, regarding AI, just last week we announced that we signed a memorandum understanding with an undisclosed counterparty to acquire 10 megawatts of prefabricated data center RPDC. As it is essential the infrastructure for a military grade data center, we are seeking offtake agreements that would require such capability. This asset would also significantly shortcut the building of our first data center by a year or more and it gives us the credibility as a new entrant seeking high value AI offtake agreements. A key sea change in the market is not only the demand for private AI as corporations don't want their priority data to be utilized for public large language modules, but also nation states are demanding their data remain sovereign within their borders. This is certainly true in Canada, especially in light of Nvidia's comments last week. We see no shortage of emerging demand drivers that uniquely position us to capitalize on inherent demand that is being sweetened by the current geopolitical environment. In October we signed a memorandum of understanding with the Malahat Nation to build up 30 megawatts of generative AI capacity split between the two parties. We are currently focused on lining up offtake agreements and are in discussions with multiple parties as we are seeking out execution partners where we have also made in which we've also made very good progress. As discussed before, we believe this partnership with the Malahat has the potential to be a blueprint for similar development with other indigenous bands that can be replicated throughout Canada. We will be taking our time to do this right with the Malahat as we want the definitive agreement to be based on a relationship where we can deliver on our commitments. Now for Bitcoin mine. During the December quarter, we had a realized hash rate of 1.62x a hash up 65% sequentially with a fleet efficiency of 22.9 Joules per terahash, an improvement of 7%. We mined 97 bitcoin, up 49% sequentially as our hash rate increase was partially offset by a 15% difficulty increase. As the network produced about 60 bitcoin per exahash in the quarter, down 12% sequentially, our bitcoin production was in line with what we would expect from our realized hash rate. With a fully energized fleet of 4550 Bitmain T21 miners, we achieved our 1.7 exahash goal and have been able to reach 1.8 exahash in the current quarter by utilizing our first megawatt of hydro miners ahead of energizing the additional 5 megawatts of hydro miners at the end of this month which should enable us to reach 2.1 exahash. Our fleet efficiency is currently just under 23 Joules of terahash. We are targeting 21 Joules when we float fully energize our hydro miners. We consider this fleet efficiency level to be within the ranks of our larger peers. Beyond this, we are looking at new sites for fleet expansion, especially as our vision is that our Christina Lake facility becomes an AI facility and that Bitcoin mining migrates to sites with lower cost energy. Regarding the site, the DMG announced in May 2023 where we entered into a non-binding agreement that would result in development of a new data center site with access to low cost renewable energy located in Canada. The cost of energy has been significantly higher for the past few months versus what it had historically been. We are evaluating if this is a short term blip or a secular change and hence how we will proceed with the project. We continue to evaluate locating Bitcoin mining and other locations in both Canada and the U.S. To reach our three exahash goal in the coming year, we have been looking to deploy next generation miners with efficiency ratings below 12 Joules a terahash in the second half of calendar year 2025. However, given market uncertainties regarding the future profitability of mining, we will be very careful with respect to deploying the capital, especially as we have a potentially very lucrative AI opportunity emerging. If Bitcoin price remains at current levels, we believe there could be significant industry restructuring and hence we are proceeding with caution. And now for a summary of our strategy. First, DMG's core plus software and services. In calendar 2025, we are focused on customer acquisition and platform expansion for both Terra Pool and Systemic Trust. We need very limited headcount expansion to do this. As for both platforms, we are initially focused on onboarding relatively few large customers. We are excited about how our software development is proceeding and we expect a steady stream of new products and enhancements to our existing products. For DMG's core data center infrastructure, we are focused on AI becoming a major driver of our core strategy going forward. A fully facilitated PDC with GPUs has the potential to increase our asset base several times and the JV with the Malahat to be several times that, especially as we envision future AI data centers beyond the PDC to be based on liquid cooling utilizing the most advanced GPU devices. Bitcoin mining will remain foundational to our core strategy while AI has the potential to rapidly eclipse Bitcoin mining not just for DMG but the entire industry, Bitcoin mining, if done right, can be an ROI enhancer to an asset base dominated by AI. Even as we just raised 17.2 million last quarter to realize our vision, we will likely need to access the capital markets again and as such we may use a combination of cash, debt and or equity to fund those investments. However, as demonstrated with the PDC acquisition, we can be creative where in this case our initial outlay for the PDC is likely to be just a single digit percentage of the ultimate value realized from the asset. We also intend to utilize government sponsored financing as much as practical. Now I'll hand it over to Steven to review the company's performance.
Steven Eliscu: Thank you Sheldon. I'm Steven Eliscu, DMG’s COO. First a few words about the company's overall position. In the December quarter our cash plus bitcoin balance was 58.2 million, an increase of 62% sequentially and up 110% year-over-year. We have utilized more than half of our bitcoin balance as collateral for our Sygnum Bank Credit facility which we utilize specifically for the purpose of purchasing our Bitmain T21 mining fleet and subsequent capital purchases. Note that we have expanded our use of our Sygnum Credit facility by almost an additional 6 million in December quarter and we're now up to $20 million. We are unlikely to expand this debt level further and we'll actually look to reduce it as we proceed through the year. For our mining operations, our near term focus is to reach 2.1 exahash as we believe hydro mining and direct liquid cooled AI servers are the future of high performance computing. This deployment positions us to execute on that future. So far we are pleased with the performance of our operating hydro miners, but we have very limited data so far. Now for a few words on AI. As Sheldon detailed, we are making progress on infrastructure, offtake agreements and execution partners. Our AI ambitions are taking shape in a way that gives us an opportunity to carve out a defensible niche that is well suited for DMG to execute upon. Now to review our financial results. In our December quarter our revenue increased 97% to 100 to 11.6 million from 5.9 million the prior quarter, mainly a self-mining revenue increased 106% to 11.3 million from 5.5 million the prior quarter resulting from the 49% increase in the amount of Bitcoin mined to 97 Bitcoin and a 38% increase in the realized price for that bitcoin. Our hosting revenue decreased 25% sequentially to 0.2 million in our December quarter. We expect hosting revenue to decline to near zero this year as our existing customers retire their fleets and we utilize our capacity for self-mining and AI. Operating and maintenance costs increased 44% to 6.7 million from the prior quarter as we operated 65% more hash rate with an offsetting 7% increase minor efficiency to 22.9 joules per terahash. Note that while we realized a small decline in our utility costs as we began to utilize non-firm power, our hosting costs for 120 petahash of our fleet were higher than expected reflected in the higher than historical non-utility operating and maintenance costs. Note that our non-firm power is subject to self-curtailment and as we disclose in our financial statements and press release, we curtailed once for three consecutive days which occurred last month. We have had no subsequent curtailment events and we expect our Christina Lake energy costs could be slightly lower on an annualized basis but likely higher in the current quarter as a result of utilizing non-firm power. Also note that the 15 megawatts of firm power will support our AI memo of understanding with the Malahat and we're working with our utility to secure additional firm power for future AI growth. Our margin percentage on our revenue less operating and maintenance costs was 43% in the December quarter up from 21% the prior quarter and back in line with recent history. Our energy cost to mine a bitcoin was about 46,000 U.S. similar to the prior quarter. As a proxy for cash flow from our business which assumes we're selling about 100% of our generated bitcoin. Our earnings before other items excluding depreciation, amortization and stock based comp was 2.6 million or 22% on a percentage basis versus minus 1 million and minus 17% in the prior quarter. Our cash flow from operations was minus 2.7 million in December quarter versus plus 1.3 million the prior quarter as we sold $4 million less bitcoin than we earned. Note that we also raised $23 million from equity and debt combined which were subsequently used for CapEx and investment into a short term investment instrument. The net increase in cash flow from financing over cash flow from investments was largely reflected in the increase in our cash balance. Non-mine expenses excluding depreciation, amortization and stock based comp were 2.4 million in December quarter, up 6% from the prior quarter of 2.3 million, largely on the increased interest payments on our Sygnum loan. In our 2025 financial year, we still expect expenses to rise nearly 50% from 2024 levels as we continue to make investments in systemic trust. Additionally, we want to make a comment on our software development costs as we look forward. We have a world class development team that is largely focused on optimizing architecture, test coverage, security and user experience. For writing code, we're largely leveraging the publicly available AI tools. This is giving us a huge productivity boost and is now table stakes really for any software development. So even as we have an ambitious software roadmap, we expect our research costs to stay very well managed where cost growth will mainly be the effort of growing our cloud resources to support client growth. Depreciation expense of 4.3 million in December quarter decreased 25% from the prior quarter as a declining balance method depreciates a smaller portion of our assets with time. As a percentage of revenue, our depreciation expense was 37% which we believe is highly competitive among our peers and demonstrates a rapid improvement in capital efficiency as we grow hash rate. Note that in the current quarter, we will begin to depreciate our S21 and S21 plus hydro miners so that as we continue to make new investments, Bitcoin mining related depreciation may increase in our 2025 financial year. Our earnings before other items was minus 2.5 million in the December quarter, an improvement versus minus 7.3 million the prior quarter on the higher fall through from revenue and lower depreciation expense. Our net income was minus 3.1 million or minus $0.02 per share versus minus $0.05 per share the prior quarter. Note that the 0.9 million FX loss in the December quarter was associated with our Sygnum loan which is denominated in USD. Now a comment on the accounting rules related to the unrealized revaluation gain on bitcoin which you may be wondering as you reviewed our latest financial statements. Note that the gains related to the increase in digital currency in the first quarter of fiscal 2024 were offset against historical losses incurred in prior periods. Gains are recognized on the income statement to the extent that they offset any historical losses, after which those gains are then recognized on the balance sheet as they were in the first quarter of fiscal 2025. This accounting rule impact drove most of the of the $10 million difference in net income between the December quarter and the quarter a year prior. Regarding our balance sheet, our cash plus digital currency holdings increased 62% to $58.2 million from the prior quarter and 110% from the prior year. The value of our property and equipment and long-term deposits increased 9% to $60.9 million from the prior quarter and increased 24% from the prior year as we purchased and deployed new mining equipment. Accordingly, our total asset base increased 32% to $137.1 million from the prior quarter and 51% from the prior year. In the December quarter we sold 78 Bitcoin, generating $7.3 million of cash. Thus, we sold 81% of the Bitcoin amount mined versus the prior quarter of selling 143% of the Bitcoin mined. As a Treasury policy, investors should continue to expect us to sell most or all of the Bitcoin we mine and that our Bitcoin holdings should decline as a percentage of our total asset base over time. We do not expect to purchase Bitcoin on the open market as investors are free to do so independently of their investment in DMG. Regarding raising new capital, as Sheldon indicated, how we raise capital going forward will likely look different than it has historically. In the past, we could count on the Bitcoin network to generate revenue, that in turn would allow us to raise capital. For a future where AI could be a major component of our business, our capital raising will be tied to offtake agreements which will be one based on us bringing access to power and fiber, infrastructure including the PDC, as well as collective expertise and track record brought by ourselves and our execution partners. This is very different and we believe we're well positioned to make this transition. Now. I will hand the call back to Sheldon to summarize our prepared comments and we will answer questions. Sheldon?
Sheldon Bennett: Thank you Steven. To reiterate key results and outlook, first, we are positioning DMG to expand into AI in a meaningful way with a differentiated strategy based on unique strong relationships with indigenous bands offtake agreements along with deployment partners. Systemic Trust is now a qualified custodian with a focus this year on customer acquisition. Terra Pool is evolving into a complete platform with Helm Reactor. We are focused this year on partnerships and customer acquisition. DMG mined 97 bitcoin in the December quarter on a hash rate of 1.62 exahash and a fleet efficiency of 22.9 joules a terahash. We expect to grow our hash rate in the near term to 2.1x, a hash with a fleet efficiency of 21 Joules. Our hash rate goal is to grow to 3x a hash this calendar year. Cash in digital currency at quarter end was $58.2 million with total assets of 137 million. On a net income basis we had a $0.02 per share net loss in the December quarter. And in addition to growing our hash rate, we are focused on our AI and Core plus software and service initiatives that can help return us to profitability. In summary, we are proud of the accomplishments we have made this quarter. First in making progress towards a substantive AI revenue stream, second in deploying Hydro, which supports the continued growth of our hash rate at competitive efficiency levels and third, positioning ourselves to generate revenue from our core plus strategy, including Systemic Trust and Terra Pool. We continue to make real progress and we are highly focused on our initiatives that can significantly grow our revenue and cash generation. We appreciate your continued support. And now on to our Q&A.
Q -: As with past Q&As, I will take a few questions. Steven will take a few questions as well. The first question we have is now that Canada is generally subject to a 25% tariff from the U.S. how will that impact your business?
Sheldon Bennett: As with past Q&As, I will take a few questions. Steven will take a few questions as well. The first question we have is now that Canada is generally subject to a 25% tariff from the U.S. how will that impact your business?
Sheldon Bennett: Well that's a great question, a very timely one which just came in today since tariffs have now been initiated against Canada. My answer, or I guess DMG's answer is generally we don't know. At least we don't fully know what this will do other than our non-firm power agreement, some of which that power potentially could be sourced from the U.S. We don't really source a lot of goods or services from the U.S. so we don't really know if there's going to be much impact on our business yet. The uncertainty would probably at the least delay any of our internal plans about entry into the U.S. but for now I think it's a bit too early to say if there's really any material impact on our business from these tariffs.
Sheldon Bennett: Another question, what is a realistic timeline for the AIJB with the Malahat to build the 215 megawatt sites?
Sheldon Bennett: It's a good question. Basically to build a brand new facility on DMG's property. It would probably take us somewhere in a year and a half to two years and a bit longer on the Malahat property as the Malahat will also require a substation as well both of us will need to secure approvals and permits. The acquisition of the 10 megawatt prefabricated data center that we've recently disclosed may help us accelerate an initial deployment at Christina Lake or Malahat. As we can partition the PDC into multiple pieces, they're all about one megawatt each, so there's 10 of them or so. Our preference is to secure an offtake agreement with a party that values this PDC as a full unit in the nature of its military grade infrastructure and likely as a full unit. And the fact that it's SCIF, a SCIF rated, we're likely to get a premium in long-term contracts for it. And this may also dictate that whoever this is may want this not on our location or Malahat location and they may want it on a location that we agree with them.
Sheldon Bennett: Another question, what is the prefabricated data center's expected impact on revenue?
Sheldon Bennett: Well, it's probably a bit early to know that, but as we are currently seeking optic agreements that would value the PDC SCIF rating. And just for those of you that don't know, SCIF is an acronym for Sensitive Compartmented Information Facility, more commonly understood and used in military grade data centers. Anyways, we believe we could realize well in excess of market rates for colocation or selling GPU power from a SCIF rated data center. It's not really useful to speculate on this yet, but overall it's possible that the revenues from the PDC could exceed that of our Bitcoin mining revenues now.
Sheldon Bennett: Another question. Oh, another political question. As the political environment has changed, does anyone care about a carbon neutral Bitcoin ecosystem?
Sheldon Bennett: Well, I think at DMG, yes, we still believe people care. We believe that some financial institutions given a choice would rather send bitcoin through a regulatory compliant and carbon neutral infrastructure. Additionally, most new energy generation capacity is based on carbon neutral energy sources. So this is where the market's going anyway. We are neither attempting to dictate how bitcoin should be transacted or are we making moral pronouncements, but rather we're giving a choice to where we believe there is substantial market and where users would be willing to pay a modest premium.
Sheldon Bennett: Another question here…
Steven Eliscu: Sheldon, I just wanted to interject on the, on the chat, just requests for more detail on that, just in terms of who are the potential types of customers, whether it's specialized funds or family offices. We do believe that there are, there is an appetite for carbon neutral Bitcoin. If based on discussions we have, if we were to kind of figure out where that premium would end up, it would be on the order of 1% to 2%. If you look at what sustainable Bitcoin protocol our friends over there have talked about, they've talked about higher premiums, but at the end of the day we think the premium is going to be modest.
Sheldon Bennett: Thanks Steven. Steven's monitoring the chat more than I am, so thanks for catching that Steven. Let me just take a look over there real quick. Is there anything else? Has Systemic Trust onboarded any clients?
Sheldon Bennett: Well, I mean they've onboarded DMG, but there are more that I think, obviously they've onboarded us as, as, as a bitcoin miner with lots of bitcoin, but I think, we'll, we'll get more information out publicly as they're ready to give more details on the types of clients that they, they're onboarding and the types of agreements are putting together. We did allude to Bosonic, the Bosonic's onboarding, Systemic Trust is a custodian of their exchange platform. So a little, little bit different than, than systemic onboarding DMG as a client. But I think, as they've just achieved their regulatory approval, we'll have a lot more information coming over the next few months. Maybe I'll move on.
Sheldon Bennett: And Steven, you can interject if you see some stuff come up. You mentioned in your financial disclosures that your energy was curtailed for three days. How much do you expect to curtail and what economic benefit do you get for selling power back to the grid?
Sheldon Bennett: So that's a good question. Historically we've always taken firm power. We announced that we're going to start working with a mixture of firm power and non-firm power. Our agreement with our utility is based on getting energy from the wholesale market for which daily prices can fluctuate. So, in our agreement, just to be clear, we don't sell power back to the grid. It's not sort of like an ERCOT Texas type of power agreement where you have sort of pre bought and then you can sell back if you don't want to consume yourself. Instead we take, we have like the option not to take power. So the idea here is that, we'll look at the market prices if there's a spike in the prices like we saw during a few days in the winter, we, we haven't actually bought that power yet. We can actually just curtail and not buy power. And that's, that's how this agreement's working. And we believe that, we will get an economic benefit being able to use this, this new tariff for non-firm power and that overall average throughout the year with some modest curtailment will end up having a lower cost of power than our firm power. And on the curtailment we believe it's probably going to be single digit percentages over the year. So we don't see it being a large amount of curtailment to overall have a lower cost of power than what we'd be getting on our firm rate power. And as we do have 15 megawatts firm load commitment, our agreement, the utility does not affect our ability to proceed with our AI plans in Christine Lake. As a medium term solution non-firm power should allow us to enjoy lower rates for bitcoin mining as we make the transition over to AI and Christine Lake. And just another note, we have requested from our utility to add additional firm power so we can expand our AI beyond 15 megawatts. But right now we don't have any commitment from our utility past the 15 megawatts that we have right now.
Sheldon Bennett: Moving on here, why are you confident that you can bring on systemic trust customers soon and ramp revenue by year end?
Sheldon Bennett: Well, I mean the reason I'm saying this and is mainly just because of the ongoing discussions that we've been having with potential customers, and it's a wide range of customers. We know that there is demand for Canadian based custody solutions and we believe that we have the best offering out there. We just need to let customers know about it and we believe that they'll be signing up and using our services very soon.
Sheldon Bennett: One more question. You seem less optimistic regarding your new mining site. What has changed?
Sheldon Bennett: Another good question. As I mentioned earlier, the price of energy which we were looking to be a significantly lower amount than what we are paying at Christina Lake is now a bit questionable. Additionally, the financial markets are not really rewarding miners for hash rate expansion. You can see that with a lot of our peers that are expanding their hash rate. As such we're going to be much more cautious especially about trying or tying ourselves to large capital commitments that don't allow us to earn in excess of our capital costs. So for now, we're keeping our 3x a hash goal for calendar year 2025. As with new generation miners, this would require access to about 10 megawatts of power which we have readily available in Christian Lake. But we will only be committing if the capital is accretive. I think that answers the question.
Sheldon Bennett: I see a chat question about the Malahat. Maybe I'll take a stab at this one, what steps are needed to get a definitive agreement with Malahat? I've said this before with the mou, we actually have a definitive agreement that has been drawn up. Both parties have the reluctance to sign. It is basically the fact that we want to ensure that we were able to execute on any definitive agreement signed. And that kind of goes through our comments earlier about, making sure we have offtake agreements for an investment of this size. The last thing we want to do is sign up a definitive agreement and then both parties are kind of looking at each other going okay, now do we do. Who's going to be our client? How are we going to build this? How are we going to execute this? So we're putting all those pieces together to ensure that a definitive agreement once signed between the parties is going to be very simple to execute on. And then second part is what end, what end markets or customers are you most excited about for co-location? For us personally, government contracts are probably the most exciting. It's not to say there aren't great enterprise level contracts out there. We have ongoing discussions at both levels, enterprise and government. We don't know which one's going to happen. As we've said, we do think there is value in our skip rating of the data center that we have planned to deploy first. And so we're really focusing on if we can find a client that sees that value and wants to sign up to that unique type of data center. That doesn't stop us from signing somebody else up. If that looks like it's going to be too long or we don't see something that is as appealing as an enterprise customer. So it's a little bit up in the air right now, but I would say that we're making progress in both tracks of a customer for that, that particular data center. Steve, did you want to take on a couple of questions next?
Steven Eliscu: Yes, sure. And just kind of on the, on the end markets for the, for the, our data center strategy in, in general, it's just the really this trans to this focus on longer term agreements really in Canada, this idea of data sovereignty is becoming front and center and having substantial domestic capacity and not being dependent on capacity located in other countries, especially for the military related agencies is becoming very important. So we think our timing is really good here and we hope that things come together fairly quickly. As you know these contracts are complicated. It's not like we're necessarily going to, we think that, we think these are easy, but we, we, we know the timing is very good to be able to reach the ability to get these offtake agreements. And having this prefabricated data center is, is a huge asset that we feel is going to help us here as in the near future. Some other questions. Your hosting arrangement seems expensive for just running 120 petahash. And so what was our rationale for the agreement and how long are we committed to it? Well it was really set up for a couple things. First, our ultimate plan is to have our legacy miners exit our Christina Lake building, buy in pockets of low cost energy and working as we really want Christina Lake to be in terms of Bitcoin mining, Hydro only and then and eventually AI. And the other point was the other thing we wanted was to gain experience in part of Canada that we may ultimately have our own operations. And this would allow us to have a path to be able to do that. We really value our hosting partners expertise and running our equipment in the region that these miners are operating just gives us a better window as to how that would operate. And our hosting agreement is relatively short term so we're evaluating how we continue on that.
Steven Eliscu: Another question. Can you give updates regarding customer acquisition for Terra Pool?
Steven Eliscu: Yes. With our Fireblock solution for and understand with our Petra technology related to Fireblocks. What this is enables a transaction to be sent from a wallet and directed to Terra Pool so it's processed in a way that's carbon neutral and regulatory compliant. This is coming soon. And now that it is coming soon and we're just in our testing stage, this was really the last thing we needed and the this is now we're really going to be making the push to get miners onto Terra Pool. And we really see Terra Pool is the enabler for Systemic Trust. So those who join Terra Pool also get the benefit of Systemic Trust generating carbon neutral Bitcoin, being able to maintain the status of that Bitcoin as carbon neutral every time that that Bitcoin is sent. And having Terra Pool is really just enabling peace for this larger vision. And this is going to be something that we really push in tandem with Systemic Trust. So when we think of the agreements with Systemic Trust clients being mid-year and revenue ramping towards the end of the year, that you should also think of Terra Pool in a similar time frame. And we're working with our Systemic Trust colleagues together on this. We're helping them, they're helping us.
Steven Eliscu: With your entry into AI. This is one that is interesting. Are you considering a company name change?
Steven Eliscu: And I guess yes and no. We're we are considering that for maybe a corporate name or to be created AI spin out. As we get deeper into AI this year, it's likely we'll take some action to reflect. If we're we don't want to go into a meeting related to AI offtake and talk about DMG blockchain that's just dissonant and we're doing so we, we get it and it's something that we're, we're very much looking at. We've already kind of updated our company boilerplate description of our business in our financial disclosures. And if you look at our annual information form that we just recently released, we also have a generative AI primer in that document.
Steven Eliscu: Here's a lot of question a lot of people have on mind, including Sheldon and I. The stock hasn't performed even as you've raised capital, you've mostly delivered on the milestones you set out to achieve. We did increase our hash rate, we did execute on our software and we did Systemic Trust. Now a qualified custodian. We're doing more than just talking about generative AI but our stock hasn't reflected that. And we get it. The stock share price has been under pressure. But also if you look at the entire sector, the entire sector has been under pressure. And now with the DeepSeek news, a lot of the stocks that are in our sector moving to AI also took a hit. We certainly get that. We're very encouraged by what NVIDIA and the hyperscalers are talking about. We believe specifically within Canada there's additional demand drivers that were less concerned. But when we look at bitcoin mining a lot of the forecasts were about going to 200k or greater. Obviously we're nowhere near that. Nowhere near that. And the economics of bitcoin mining remain very challenging. And from what we see, the markets are telling us focus on AI, focus on differentiated strategy with regards to digital assets as we are with our Core plus strategy. And we've said we have a lot of work to do, we have to execute on getting customers turning AI MoUs into definitive agreements. And we believe if we do that our stock price will follow. And then that kind of leads into some short term catalysts that investors what should investors be focused on. And it's really just reiterating turning these AI MOUs into definitive agreements so they become not only binding but there's some specific terms and the potential for value creation becomes a whole lot more apparent. And then Systemic Trust and Terra Pool announcing clients spanning the platforms this is where we're focused right now. So we're at the end of our questions and really towards the end of our time. I will now hand the call back to Sheldon for closing comments.
Sheldon Bennett: Thank you, Steven. As Steven said, this is the end of our Q&A. Hopefully we answered all your questions. As we do this every quarter, feel free to send in more questions for next quarter. As a reminder, we will be at the upcoming events the ROTH Capital Technology Conference and Dana Point, California held March 17th and 18th, the Mining Disrupt Conference in Fort Lauderdale, Florida, held March 25th to March 27th and Bitcoin 2025 in Las Vegas in late May. Please reach out to us so we can meet you in person if you're attending any of those events. We thank you for attending and our call is now over.